Kurt Kevin Hallead: Great. Thank you, [ Clowye ]. Good morning, and thank you for joining TETRA's Second Quarter 2025 Earnings Call. Speakers for today will be Brady Murphy, Chief Executive Officer; and Elijio Serrano, Chief Financial Officer. I'd like to remind you that this conference call may contain statements that are or may be deemed to be forward looking, including projections, financial guidance, profitability and estimated earnings. These statements are based on certain assumptions and analysis made by TETRA and are subject to several risks and uncertainties, many of which are beyond the company's control. You are cautioned that such statements are not guarantees of future performance and that actual results may differ materially from those projected in the forward-looking statements. In addition, we may refer to EBITDA, adjusted EBITDA, adjusted EBITDA margin, free cash flow, net debt, net leverage ratio, liquidity, returns on net capital employed or other non-GAAP financial measures. Please refer to our press release for reconciliations of non-GAAP to the GAAP measures. These reconciliations are not a substitute for financial information prepared in accordance with GAAP and should be considered within the context of our complete financial results for the period. We also encourage you to refer to our 10-Q that was filed yesterday. Before turning it over to Brady, I want to remind everyone that TETRA's executive team will be hosting an Investor Day on Thursday, September 25, 2025, at the New York Stock Exchange. During the session, attendees will gain insights in the company's operational performance, innovative technologies, emerging growth initiatives and financial prospects. The registration link can be found in the Investors section of our website. Brady?
Brady M. Murphy: Thank you, Kurt. Good morning, everyone, and welcome to TETRA's Second Quarter 2025 Earnings Call. Ill summarize some highlights for the quarter and provide an update on our strategic initiatives before turning the call over to Elijio to provide more details on our segments and update on our cash flow and balance sheet. Our employees delivered an exceptional second quarter. And across our current business reporting segments, a record-setting adjusted EBITDA for the first 6 months of 2025. For the quarter, we achieved an adjusted EBITDA of $35.9 million, with adjusted EBITDA margins of 20.6% and base business free cash flow of $37.4 million, all above our expectations. The $68.1 million adjusted EBITDA for the first 6 months of 2025 is a record for our current segments and $3.1 million above the upper range of guidance we provided in our first quarter 2025 earnings. This was largely driven by a record level of deepwater activity for TETRA in the first half of 2025, including 25 deepwater jobs in the first quarter alone and the completion of the 3-well Neptune project in the second quarter. The team delivered an 11% sequential increase in revenue, which included another strong Northern Europe industrial chemical season. Year-over-year, total revenue was up 1% but adjusted EBITDA increased by $5.2 million or 17%. This performance was achieved despite a 16-month decline in the U.S. rig count and lower oil prices, which is due to overall market uncertainty. Compared to the first quarter of 2025, Completion Fluids & Products adjusted EBITDA margins increased by 100 basis points to 36.7% for 35.7%, supported by the CS Neptune jobs previously mentioned. Year-over-year, Industrial Chemicals grew by 5.5% as it continues to outgrow both U.S. and the global GDP. The long-term outlook for Completion Fluids & Products business remains strong, driven by our solid deepwater market positions in key areas such as Gulf of America, Brazil and the North Sea, along with continued exceptional performance in our industrial chemicals business reaching a new high for the tenth consecutive quarter. The strength of our market position is further demonstrated by a new multi-well, multiyear ultra-deepwater 20K completions award in the Gulf of America. Although the pace of deepwater well completions can vary quarter-to-quarter, the overall annual trend is upward, as shown by a projected 10-year revenue high for this segment in 2025. Revenue for water and flowback services remained flat compared to the first quarter and decreased 10% year-over-year outperforming U.S. frac activity, which declined 14% quarter- over-quarter and 26% year-over-year. Despite declining U.S. land activity, our automated technology fleet included automated sandstorm and automated drill out is effectively fully utilized and is being recognized for reducing manpower and removing employees from the well-site red zone. Although U.S. land drilling and completion activity has been declining, produced water volumes continue to increase and is expected to increase well into the future. TETRA achieved an important milestone for the quarter, recording our first revenue for Permian Basin produced water desalination from our commercial Grasslands pilot operation. Although a small contribution for the quarter it represents the successful execution of our TETRA Oasis solution. Water & Flowback adjusted EBITDA margins of 10% declined from 13% in the first quarter, however, this result included nearly $2 million of costs not expected to recur in the third quarter, such as inventory write-offs and trailing exit costs for a small subsegment of the business. Adjusting for the nonrecurring cost, adjusted EBITDA margins would have been flat from the first quarter. We'll continue to adjust our cost structure and close underperforming service lines in the U.S. onshore business to protect our margins and maximize free cash flow. Going forward, there remains some uncertainty in U.S. completion activity. But the demand for our automated technology, the focus on produced water treatment and recycling and a favorable mix of super majors and large independent operators will help improve margins for the rest of the year. Moving to our strategic growth initiatives. We continue to make significant progress throughout the second quarter. On the electrolyte front, energy storage power capacity is expected to surpass 45 gigawatts by 2025, representing a 76% increase from 2024 levels and growing by 25% annually over the next decade according to the U.S. Energy Information Administration. This growth highlights the vital role that utility-scale energy storage will play an improving grid stability as the exponential rise in overall demand strains our systems. Zinc-based energy storage systems, such as Eso's Z3 utility scale energy storage technology are becoming the preferred choice for utility applications. As the only known U.S. manufacturer of zinc bromide, our U.S. directly supports the increased focus on domestic supply chain resilience and American-made energy solutions. We're seeing strong forecast projections from the U.S. for their energy storage electrolyte needs as they ramp up their automated production line. Once their automated line is finished, which they will expect to be in the fourth quarter of this year, we will see a material increase in electrolyte deliveries. In preparation, we completed the installation of our electrolyte bulk tanker loading system in West Memphis. This will enable us to shift from tote shipments to much larger volumes with less costly tanker deliveries, which we have already begun. Although our baseline electrolyte revenue in 2025 remains modest, 2026 is shaping up to be the first year with a real material impact on our business results. To meet the increasing demand for both Eos electrolyte and our bromine-based deepwater completion fluids, we remain on track with our Arkansas bromine processing facility. In the first half of 2025, we invested $22 million of the $52 million in free cash flow generated from our base business into the project. We plan to invest an additional $22 million in capital expenditures by year-end, which will greatly support site preparation, power infrastructure and the construction of the bromine tower for plant operation. Since starting this project in 2024, we've invested $44 million in Arkansas to enable the plant to go online by 2027. As outlined in the definitive feasibility and economic analysis completed in 2024, the facility is expected to produce incremental revenues of $200 million to $250 million with adjusted EBITDA of $90 million to $150 million -- $115 million annually at full capacity. We continue to work closely with Standard Lithium and Equinor on their SWA lithium project with significant project synergies, including potential upstream CapEx savings of $80 million from the $270 million CapEx in the DFS study. Moving on to produced water treatment for beneficial reuse, the U.S. oil and gas sector continues to face significant water management challenges. Rystad estimates the Permian Basin alone, over 6 billion barrels of produced water are discharged into saltwater disposal wells each year. Traditionally, this wastewater has been disposed of by injecting it underground, but this method is becoming increasingly unsustainable as downhole formation pressures continue rising. As a result, there is a growing sense of urgency among regulators and industry players to find a solution. In March, the Environmental Protection Agency announced it would review wastewater regulations for the oil and gas industry to help unleash American Energy. And in June, the Texas governor signed a law, Texas House Bill 49, enabling and facilitating the industry to treat produced water for beneficial reuse. Following the commercial announcement of our Oasis TDS water desalination technology, we continue to see customer engagement from both operators and water midstream companies. These engagements include signed NDAs, followed by visits to our research center to get insight into Oasis TDS end-to-end process and results. During the quarter, we engaged an engineering firm to begin designing our first Permian Basin commercial plant, which is planned for 25,000 barrels per day, with a design allowing for 25,000 barrel per day increments to enable scaling. One of the many benefits of the Oasis technology design is that it's well suited for scaling a key aspect of industry requirements. A completed engineering package, which we expect by the middle of the fourth quarter, will facilitate in-depth commercial discussions with numerous customers requesting commercial engagements. Looking forward to the second half of 2025, although U.S. land activity is trending lower, our automation technology continues to gain traction and will help us improve margins. Second half deepwater activity will not be at the record levels that we've seen in the first half but still strong enough to project a 10-year high for the full year 2025. We're maintaining a healthy pipeline of CS Neptune projects worldwide, but given their significance to our financials, we will wait until a project is awarded with a confirmed date before making any announcements. Heading into 2026, we'll have the benefit of a full year of our Brazil Deepwater award recently awarded 20K Gulf of America award and a projected material ramp-up in Eso electrolyte deliveries. For the full year '25, we expect GAAP net income before taxes to be between $21 million and $34 million. Adjusted EBITDA between $100 million to $110 million and revenue to be between $610 million and $630 million. These guidance ranges are subject to risks associated with scheduled delays for completion fluid projects, hurricane disruptions in the Gulf of America and changes to oil and gas spending -- company spending plans. We have a strong free cash flow generating business that should enable us to navigate through any near-term macro uncertainty and position the company to capitalize on our emerging growth opportunities for the coming years. Now I'll turn it over to Elijio.
Elijio V. Serrano: Thank you, Brady. Good morning, everybody. Second quarter free cash flow from the base business was very strong as we generated $37 million of cash. From the base business, we generated $1 million more in cash than we did EBITDA. In the first 6 months of the year, we've generated $53 million of base business free cash flow compared to $68 million of adjusted EBITDA. This ratio of free cash flow to adjusted EBITDA reflects the quality of the earnings and the focus we have on managing working capital and minimizing capital expenditures to be only on those projects with quick paybacks. We remain on track to deliver in excess of $50 million of free cash flow from the base business. We have said that our objective is to bring the Arkansas bromine project online without stressing TETRA's balance sheet. Our objective is to keep TETRA's leverage ratio below 2x EBITDA. Out of the $52 million of base business free cash flow generated in the first half of the year, we've invested $22 million into Arkansas in the first 6 months of the year. We increased our cash balance by $32 million and in the process, improved our net leverage ratio to 1.2x trailing 12 months EBITDA. Our objective remains to have the -- remains to have the bromine project online by the end of 2027 to keep up with the growing demand for our zinc bromide battery electrolyte and to keep up with the strong demand for deepwater offshore projects. Any incremental capital required above base business free cash flow will be at the project level and will not be dilutive to TETRA shareholders. We are of the opinion that the growth opportunities we have with water desalination and battery electrolyte are not yet reflected in our share price, and as such, we will take no actions to dilute our TETRA shareholders. To fund the desalination projects that Brady mentioned, we are working toward a license model that materially reduces the need for TETRA to invest any material amounts of capital expenditures. If some customers prefer the sharing of capital instead of our license model, we'll also pursue in non-dilutive capital at the project level. Liquidity as of yesterday was approximately $219 million, up $15 million from the end of June. Liquidity includes a $75 million delayed drop feature that's available to TETRA for the bromine project. Let me close out by summarizing what I believe the key items everybody should focus upon. First, our base business continues to perform. Our completion fluids and calcium chloride business is achieving record highs and generating significant free cash flow. Our onshore Water & Flowback business remains in the double-digit EBITDA margins despite the continued decline in fracking activity. Our objective is cash generation. Second, the balance sheet keeps getting stronger, giving us the capital necessary to fund our bromine project. Third, we continue to make very measured and methodical progress toward the growth initiatives. We are focused on getting it right and not launching anything until we have all the engineering support in place, customer acceptance and economics fully fleshed out. If it takes a bit longer, that's fine, as our focus is getting it right and not getting it faster than we believe to be appropriate. And lastly, we encourage you to visit with us on September 25 at the New York Stock Exchange for our Investor Day or join us on our webcast. We plan on laying out our financial targets for our growth initiatives and lay out what TETRA will look like when these technologies have been deployed to the market. Brady, let me turn it back to you for some closing comments before we open it up for questions.
Brady M. Murphy: Thanks, Elijio. I'll save my closing comments for after the questions. So okay, we'll open it up for Q&A now.
Operator: [Operator Instructions] Our first question comes from the line of Martin Malloy from Johnson Rice.
Martin Whittier Malloy: I wanted to ask about desalinization. And maybe if you could spend some time broadly speaking about the economics of the desalinization projects and the amount of energy being used to desalinate the water -- the produced water and the cost and also maybe about legislative initiatives that you're following related to desalinization, potential demand?
Brady M. Murphy: Okay. Let me start, I guess, with the commercial aspects of this opportunity for us that -- what we're seeing is disposal well costs for operators continuing to increase and solutions like ours from a desalinations perspective continuing to decrease. And so you've got a converging environment of operator costs increasing due to the higher pressures or taking out of basin cost, trucking, for instance, is extremely expensive, could be $5, $6 a barrel. Additional pipelines, if you've seen some of the announcements of out-of-basin pipelines are extremely capital intensive. So costs continue to go up. While technologies like ours, Oasis is, we believe, one of the lower cost -- lower energy cost solutions that will be available in the market. And so that convergence, Martin, has given us the opportunity to have these discussions with the operators, with the midstream companies who, quite frankly, need this solution in the coming years as the amount of curtailment of production just due to produced water injection disposals and pressures is really going to start to impact them. The regulatory environment is extremely supportive. I think I mentioned on the call, the Texas House Bill 49 was approved, which essentially facilitates the operators and technology providers like ourselves to process produced water and distribute it into the economy, which previously was not allowed. EPA has been getting involved. We actually met with the EPA in Washington, D.C. to talk about our desalination technology and the support that we would like to see from them. They're very, very supportive as well. So there's a lot of momentum on all fronts, which continues to give us the encouragement that we have about our opportunity here. As far as the actual commercials, we're going to save that for discussions with our customers in terms of our pricing, our cost, our OpEx, our CapEx. That will be a little more refined when we get our first complete end-to-end engineering package that I'd mentioned completed by the fourth quarter, that allows us to have the level of detail of commercial contractual negotiations that we need.
Elijio V. Serrano: And Brady, I would add that preliminary discussions indicate acceptance to a license model that reduces any stress on TETRA's balance sheet.
Martin Whittier Malloy: That was very helpful. And then for my follow-up question, just wanted to ask about the offshore completion market. And there's indications that of -- the subsea tree order outlook has been strong. Is expected to be strong. Could you maybe spend some time just talking about level of customer conversations? And if those subsea tree orders are aligning with where your strengths are in terms of the higher pressure wells and the basins that you have a strong presence in?
Brady M. Murphy: Yes. The trends that we're seeing, certainly in overall deepwater is continuing to increase in terms of activity over the coming years, 4 to 5 years' visibility that we often have with customers that are planning these very complex, highly technical deepwater completions. The other trend that we're seeing is the pressures are getting higher as evidenced by the other 20k rigs that are coming into the Gulf of America. Those pressures play into TETRA's strength due to the heavy bromine-based completion fluids, including Neptune for certain applications. So yes, all positive signs, particularly as we start to see the U.S. oil production flatten out plateau. I think deepwater will continue to get a lot more attention in the coming years for additional online supply.
Operator: Our next question comes from the line of Jesse Sobelson from D. Boral Capital.
Jesse Sobelson: I was just curious on the guidance that you guys issued for the rest of the year is really strong and very promising. I think a lot of investors are really pleased with it. I was curious, as we look to the second half, are you able to give any insight into what you're seeing this quarter versus the next? Or are we generally expecting both quarters to be pretty similar from a financial standpoint?
Brady M. Murphy: I think activity wise, you're going to see -- we expect to see activity fairly consistent between Q3 and Q4. As I've mentioned, overall, it's not going to be the record-setting pace that we had in the first half of the year. That's just how wells activities and -- are drilled and completion activities follow the drilling. So -- but I just said annually, it's going to be a record year for us, and we think that we'll continue to build on that as we go into 2026. But I expect Q3 and Q4 to be relatively similar in terms of financials.
Jesse Sobelson: Good, I understand. And then just a really quick follow-up on the financials here. Working capital looks to have come in a little bit, generated some cash this quarter. Was this something that is seasonal? Or could this be a future source of cash flow throughout the rest of the year?
Elijio V. Serrano: A couple of items worked in our favor, Jesse, number one, we've collected the CS Neptune project that we completed in the first half of the year. And second, as we go through our seasonality in Northern Europe, we started invoicing in April and the collections go from June into July. So we got the benefit of those 2, but we still expect to continue to increase our free cash flow in the second half of the year for the base business.
Jesse Sobelson: Great. Yes, I noticed free cash flow, just was above that $50 million guide you gave for the year already. So congrats.
Operator: Our next question comes from the line of Bobby Brooks from Northland Capital Markets.
Bobby Brooks: Kind of a follow-up on Jesse's last question. I just first want to get my hat to you guys for the continuation of providing some guidance points. It's been very helpful in setting expectations, and I think it also allows the investment community to better understand and appreciate the TTI story. With that said, -- with that said, I was curious, what are some of the assumptions underpinning that revenue guidance? How I'm looking at it is as the first half of '25, you guys benefited from about $30 million or so from the CS Neptune wells, which are not repeating in the second half. And then you also got the seasonal industrial chemical sales in 2Q that don't repeat. So when you take into account those pieces when comparing 1 half results to the second half implied guide, sales are flat when compared to some of your peers who are cutting guides due to lower frac activity. Obviously, Eos volumes ramping up as a benefit, but really curious to hear more about what else is underpinning your outlook?
Brady M. Murphy: Yes, I'll make a few comments and then ask Elijio too, as well. I wouldn't assign all of the Neptune revenue to the number that you that you gave, Bobby. Overall deepwater activity, we look at overall deepwater activity was extremely strong in the first half of the year. I think I've mentioned we had 25 jobs in the first quarter. That's a very high pace of deepwater completions and then, of course, the Neptune wells in the second quarter with additional activity. But second year activity just won't be at that pace overall for deepwater. Eos really is not a significant factor for us in this year's financials. Second year's financials, it is increasing, but off of a very low base. But as we get into 2026, as I've mentioned, when they have their first line up and running, we believe, certainly before the end of the year, that will be a material uplift for us in 2026, but not really material to us in '25. I'll ask Elijio maybe to add additional comments.
Elijio V. Serrano: Bobby, I would ask that people start looking at what's coming to us in 2026. We will have the second quarter seasonality again, which has been strong for 3 years in a row now. We've got Eos ramping up. And if you follow Eos and you look at consensus revenue '26 versus '25, they are projected to have a very meaningful ramp up. The TETRA management team stays in close contact with Eos, and we continually visit their operations to see what they're doing in their automated production line, and we're very encouraged with what we see. We've mentioned that we secured an offshore deepwater Brazil project that will have a full year impact in 2026 with. And then with the deepwater activity, we expect to see significant deepwater projects, including potential Neptune next year that lays us out for a very solid 2026.
Bobby Brooks: Okay. Got it. I can appreciate turning the page and look at '26, but could we maybe just touch on a little bit of like other factors that are driving that second half kind of implied guide?
Elijio V. Serrano: Yes. Keep in mind that the frac count and the drilling activity in the United States has continued to get softer. We believe technology has created a differentiator for us and has allowed us to maintain market share, but we're not focused on market share growth. We're focused on margin enhancement and cash generation on the onshore business. Everything else, as Brady mentioned, is timing of projects. We had a lot of the projects on the deepwater side that got completed in the first half. Now we need for those rigs to finish their drilling program so we can show up with the completion fluid at the tail end of those projects. and we think those are going to be more weighted towards early next year than the second half of this year.
Bobby Brooks: Got it. Fair enough. And then I wanted to also ask on the news of engaging an engineering firm for the design of the first commercial Oasis project. It seems like this design would be more so broad-based and not necessarily for a specific project in mind. And with it being broad-based, it could be kind of used across multiple scenarios with a few minor tweaks. Am I thinking about that right? And then secondly, you guys mentioned in the prepared remarks, it's for 25,000 barrels a day but it will have like a modular option to add additional 25,000 barrel per day capacity. I just want to make sure I'm understanding that right, and maybe how to just think about how you would kind of plug in that extra capacity?
Brady M. Murphy: Yes. So we've been working with a lot of Permian Basin operators, Bobby. And so we're very familiar now with the type of water that we're dealing with for these desal projects. Specifically, the Permian, obviously, there'll be different in South Texas or Haynesville or as you go around different basins across North America. So this 25k design will be designed to handle what we believe will be a wide variety of Permian Basin operators. And in fact, we're using several of their specifications to make sure we've got that covered with Oasis. And you're absolutely right. The design is being built or the technology is being designed to accommodate 25,000 barrel per day increment. So if a customer wants to ramp up to 100,000 barrels a day, we would take essentially 4 of these trains, these 25k trains and link them up to provide 100,000 barrel a day type of solution. And this technology, fortunately, is very scalable along those lines. And the engineering firm we're working with will be helping us ensure that that's part of our solution.
Operator: Our next question comes from the line of Patrick Ouellette from Stifel.
Patrick John Ouellette: It's Pat Ouellette on for Stephen Gengaro. You previously mentioned discussions with bromine suppliers to bridge supply as you looked for a more staged approach to develop the Arkansas bromine processing facility. Just curious how it's going to securing the bromine for the various end markets you have and especially with the expected material ramp of volumes you're expecting to see from the U.S.?
Brady M. Murphy: Yes. So we have discussions underway with multiple bromine suppliers. Of course, we have our existing contract. Those discussions are going well. We're not going to announce anything until we have selected a final provider or multiple providers, quite frankly, it could be multiple providers as part of the bridging supplies that we're talking about. And clearly, we're monitoring both our deepwater demand and the Eos demand to ensure that between our existing current supply and the bridging volumes that we're talking about, it bridges us to the 2027 target that we have for our own plant. So that's an ongoing somewhat dynamic discussions that we're having, Patrick. But I would say at this point, we're optimistic that we will have our demands covered.
Patrick John Ouellette: All right. Great to hear the engineering design for the first commercial water desal plant. Just curious if you could give any color on expectations for either incremental pilot plants or commercial plants for '25 and '26 and then maybe any details on tractions with NDAs? I know some time ago, you talked about 7-ish NDAs in place?
Brady M. Murphy: Yes. Yes. So I think earlier in the year, I was of the impression that we would be doing multiple more pilot operations. I think that, that is now shifting to -- we have a pilot ongoing and we are engaging with customers who are now really, I think, starting to talk more about small commercial plants of the 10,000 to 25,000 barrel per day range and skipping what I would say, the really low volume pilot plant operation. So that's a good sign for us because I think there's a confidence growing that a small commercial plant is of more value to these customers than a really small pilot operation. But we have -- as we said, multiple and 7 or so NDAs that we still have in place engaged with those particular customers. And we get into contractual commitments. We'll be announcing them as we go. But obviously, we don't want to get out in front of ourselves until we're at that point.
Operator: Our next question comes from the line of Tim Moore from Clear Street.
Tim Moore: Very nice execution on especially free cash flow magnitude and the working capital, ARs collection from the Gulf. I also appreciate Elijio's strong emphasis on preventing dilution to shareholders for the bromine project financing optionality beyond self-funding. So most of my questions are already answered, but I want to start off just maybe getting a little bit more on desalination, it's the hottest topic I get asked about till the last couple of years. How is that progress growing with the beneficial reuse for the growing seasons. I mean, do you have to do a couple of growing seasons hurdle? Or is that not much more of a hurdle anymore to really move forward on the commercial plant side?
Brady M. Murphy: Well, I will say that the progress so far on the commercial pilot that we have with EOG is going very well. Because of our NDA, I really can't get into any specific discussions about where we are and the timing and what that -- what the detailed plans for that will look like. That will ultimately be up to EOG if they want to switch from the pilot into commercial discussions. But I would say -- the only thing I can say at this point is the pilot is going extremely well.
Tim Moore: Okay. Good. That's good. No, that's a great partner to have. And just a housekeeping question on Brazil. We've got a good understanding on the CS Neptune Gulf. But for Brazil, the offshore, do you expect much more revenue and EBITDA in the second half of this year? And what do you think next year's amount could be? Could it be similar to this year or it will be just lower because you were doing more project well stuff this year in Brazil than maybe next year?
Brady M. Murphy: Yes. We will get some benefit from Brazil this year. We think most of the wells because we have a full year of the contract underway, we'll see the benefit in 2026 compared to 2025. The impact this year is not as significant as it will be next year. And the same for this, we've mentioned a new 20k rig completion in the Gulf of America that we were awarded. That's a big deal for us. That will be more significant in '26 than it is in the rest of this year.
Tim Moore: That's really good color because some investors just know you lap a little bit of the CS Gulf, but you got more next year and Brazil seems stronger next year than even this year. And then my last question is just on Eos, that's another question we get asked a lot. Just on your visibility, they're doing like you mentioned the automation line completion fourth quarter, it sounds like. I mean do you have a rolling 90-day kind of order of -- and I mean how quickly can you adjust if they really ramp up severely in the fourth quarter? I mean do you have enough supply that you can get them and that kicks in pretty robustly?
Brady M. Murphy: Yes. We have a very, very good almost daily relationship with Eos in terms of their ramp up their orders. As I've mentioned, we've converted our West Memphis plant over from being able to ship totes into bulk tankers now, which allow us to achieve a significantly higher volume of electrolyte in preparation for their ramp up. So yes, we got a forecast from them. We've been planning for all of the capacity needs that they will have when they get their first line running, which we understand is targeted to be a 2-gigawatt hour annual capacity. And so we understand that volume very well as we head into 2026.
Operator: Our next question comes from the line of Josh Jayne from Daniel Energy Partners.
Josh Jayne: First one, you highlighted the uncertainty in U.S. land completions in the second half of the year. What are your thoughts on completion activity in the U.S. and how that frames your assumptions for the Water & Flowback business and the drivers that may allow you to continue to outperform there?
Brady M. Murphy: Yes. I think the activity is a little bit hard to predict. Obviously, it's been trending down, as I've mentioned, for 16 months, and there's some outlook that, that will continue trending down. I think our view is that while overall activity is trending down, the market share opportunities that we have with our automated technology, both in Sandstorm and drill out the utilizations that we're running at will allow us to continue to at least maintain growth, maybe not necessarily achieve growth, but certainly maintain revenues in the second half of the year at what we believe will be improved margins as we use more of our technology. And keep in mind, a bigger part of our revenue base is shifting from just flat completions to produced water recycling and treatment. We're one of the largest recycling and treatment for frac reuse. And as operators slow down, the percentage of water that they use for treatment and recycling actually increases. And so we've got some areas that we think will offset the overall activity declines in the second half of the year, which is why we've provided the guidance we have.
Elijio V. Serrano: And Josh also recall that embedded in this segment is that we've got early production facilities in Argentina that are under multiyear contracts. And then we have an offshore rig cooling business that's tied to deepwater activity.
Josh Jayne: Okay. That's helpful. And then the second one, just maybe this is more of a longer-term question, but as the base business continues to generate free cash flow and you continue to inch closer to generating free cash flow from both desal and Arkansas. How are you thinking about capital returns to shareholders in the near to intermediate future just given it will be here before you know it sort of some cash flow tailwinds over the next 18 to 24 months. Maybe you can just elaborate on your thoughts there a bit.
Elijio V. Serrano: That's a very good question, Josh, you've asked that we intend to address at our Investor Day. So we'll ask you to bear with us. And at the end of September, we're going to walk you how we're going to transition the company from investing in growth opportunities to a return of our capital program.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Murphy for any closing remarks.
Brady M. Murphy: Thank you, [ Clowye ], and thank you for all of you joining our call this morning. As we close out the call, we have a lot of good things to feel really good about. A record-setting first 6 months of the year, significant free cash flow from our base business to keep pace with our Arkansas project, a strong outlook for '26 and beyond for our deepwater business and electrolyte sales ramp-up and significant progress for our desalination opportunities. So please, as Kurt and Elijio mentioned, please sign up for our Investor Day on September 25, we're very excited about our future. We'll lay out our execution strategies and plans to deliver on our future growth targets. Thank you much very much for joining us and look forward to our next call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.